Operator: Good day, and thank you for standing by. Welcome to the Transphorm's Third Quarter 2023 Earnings Call. [Operator Instructions] Please be advised that today's conference is being recorded. 
 I would now like to hand the conference over to your speaker today, David Hanover. Please go ahead. 
David Hanover: Good afternoon, and welcome to Transphorm's Third Quarter Fiscal 2023 Earnings Conference Call. Joining us today from Transphorm are Mario Rivas, Chief Executive Officer; Primit Parikh, Co-Founder, President and Chief Operating Officer; and Cameron McAulay, Chief Financial Officer. 
 Before we begin, I'd like to point out that there is a slide presentation associated with today's prepared remarks, which management will be referencing during the conference call. These slides can be accessed through the live webcast link in the Investors section of Transphorm's website, where they will also be posted and available as a link to a PDF subsequent to today's conference call. 
 Additionally, during the course of this call, management may make forward-looking statements regarding the company's financial position, strategy and plans, future operations, specific end markets and other areas of discussion. It's not possible for the company or management to predict all risks nor can the company assess the potential impact of all factors on its business or the extent to which any factor or combination of factors may cause actual results to differ materially from those contained in any forward-looking statements. 
 In light of these risks, uncertainties and assumptions, the forward-looking statements discussed during this call may or may not occur, and actual results could differ materially and adversely from those anticipated or implied. Any projections as to the company's future performance represent management's estimates as of today, February 23, 2023. Neither the company nor any person assumes responsibility for the accuracy or completeness of the forward-looking statements. 
 The company also undertakes no obligation to publicly update forward-looking statements for any reason after the date of this call to conform such statements to actual results or to the changes in the company's expectations. For more detailed information on risks associated with the company's business, we refer you to the risk associated in Transphorm's most recent quarterly report on Form 10-Q and other subsequent filings with the SEC. 
 With that said, it is now my pleasure to turn the call over to Transphorm's CEO, Mario Rivas. Please go ahead, Mario. 
Mario Rivas: Thanks, David, and welcome to everyone on today's call. Our quarterly revenue was $4.5 million compared to revenue of $3.7 million in the prior quarter and $4.6 million in the prior year. Product revenue was up 25% on a sequential basis and 9% compared to the same period in fiscal 2022. 
 Increased total design-ins for power adapters and fast chargers, including the shipment of new production orders for 2 of the worldwide top 5 laptop manufacturing. The company's products have exceeded 100 billion hours of field operating reliability. We believe this is one of the industry's best growth power spectrum reliability ratings for gallium nitride power. 
 It is now my pleasure to hand over the call to Primit Parikh for a detailed review of the quarterly achievements. Go ahead, Primit. 
Primit Parikh: Thank you, Mario, and good afternoon, everyone. We are very pleased to report Transphorm third quarter revenue of $4.5 million, which represents a 22% increase over the prior quarter and a 25% increase in product revenue quarter-over-quarter. Product revenues continue to be over 80% of the total revenue, in line with our long-term goals. And furthermore, the high power portion of the product revenue was over 70% of the mix in what is still a challenging environment with macroeconomic headwinds. 
 We also realized another strong quarter of design wins, including some marquee Tier 1 customers like HP in the fast charging adopter segment, and a global energy leader in the high power segment. Overall, we achieved greater than 15% sequential growth in both design-ins and design-ins moving to production. This successes in markets ranging from low-power adapters and chargers to high power multi-kilowatt systems serving gaming, energy, server and computing, blockchain and industrial power, have been as a direct result of our targeted investments in these areas. 
 We plan to continue investing in these areas in the future, both internally and with our external partners. With these efforts, more and more customers are recognizing the advantages of Transphorm's easy-to-use, higher-efficiency gallium nitride FETs versus competing technologies like e-mode GaN. 
 Let's dive straight into our key execution metrics with a focus of scaling revenues. We are now tracking a strong $400 million plus 5-year pipeline, including segments, again from low-power to high power adapters and consumers; server telecom computing; industrial, energy, solar and microinverters; and electric vehicles. A healthy portion of this pipeline is from the Greater China Asia markets and we expect to see a strong positive impact from those markets in the latter half of the calendar year. 
 With our continued leadership in high power, at greater than 70% of the product revenue this quarter and continued penetration in low-power, we achieved 22% total revenue growth over fiscal Q2 2023 with $4.5 million of total revenues, while also successfully dealing with some of the supply chain and capacity challenges we faced. 
 We added more than 10 new design-ins in the lower power adapter market, bringing our total design-ins to more than 80 driven by our GaN FETs ease-of-use, fundamental high performance and facilitation of a lower total bill of material cost for our customers. Of these, around 25 are in production with 3 more design-ins transitioning to production this quarter. We demonstrated top-tier customer penetration with HP, with multiple repeat orders. And in this quarter, also shipped production volumes for another Tier 1 worldwide top 5 laptop maker as well as a leading e-retailer. 
 The customer penetration previously mentioned has opened up multiple opportunities for us within the same customers as well as multiple leading ODMs in this area. Again, enabled by our product's ease of use, we increased our solutions and reference designs to 15, including new partners like MPS with the 140-watt USB PD 3.1 solution. 
 We also added 10 new design-ins in the higher power segment, bringing the total to more than 55 now with 25 in production as 4 more moving to production this quarter, including the 2-kilowatt plus UPS and server wins. Our evaluation and reference kits for high power, the availability of thermally robust packages, not easily available or not available at all with other gallium nitride, and design partnerships with the likes of Microchip with whom we recently unveiled our new 3-kilowatt inverter design has helped us grow traction in the higher power space. This is also helping accelerate our EV adoption by addressing the electric 2-wheeler market with revenue potential in CY 2023. 
 Transphorm has led in establishing reliability for gallium nitride power. During the quarter, we passed another key milestone of our products exceeding 100 billion hours of field operations with excellent fit rates, statistically less than 0.1 fills per billion hours of operation, which is now similar to traditional silicon-based devices. And this, by the way, includes both low power and high power, which no other GaN manufacturer has achieved till date to best of our knowledge. 
 We continue to sample both our pin to pin compatible PQFN packages that enable low power customers to use higher performance Transphorm products while allowing for multiple gallium nitride sources as well as our performance PQFN packages with our SuperGaN platform. Both of these delivering higher performance than other gallium nitride, lower losses, cooler temperatures in the same circuit. 
 Our higher power packages measure up very well against silicon carbide and enable customers to go to higher frequency with lower losses. Leading also on the R&D front, we showcased our 1,200 watts R&D results at the Premier International Electron Device meeting, a leading IEEE conference event. We made solid progress in stabilizing our Japan epi wafer capacity, which is now ramping. We are also on track with new reactor installations already delivered to our manufacturing partner site. These initiatives will allow us to rapidly expand capacity to meet expected demand in fiscal year 2024. We are also developing lower-cost packaging subcontracting partners both for dual sourcing as well as improving future margins. 
 Next, a snapshot of our customer adoption growth in the adapters and chargers segment, from 30 watts to over 200 watts, pointing to increasing traction, including now Fortune 100 and Tier 1 larger account design-ins and design wins, as well as initial wins in new markets like India, where our robust gallium nitride FETs are well suited to a bit more stricter requirements with the grid fluctuations in the market. 
 The higher power space is a large market area of GaN and very important for us, bringing higher energy impact for our customers and higher semiconductor content for Transphorm. We added new designs in the multi kilowatt Ampere UPS space with a worldwide energy leader. Our products are in the field already in the microinverter segment with 800-watt and 1,500-watt microinverters serving either 2 or 4 panels. And the new win in the 1.5 to 2.5 kilowatt titanium efficiency server power segment in areas where Transphorm has led with a strongly IP-protected architecture, the total pole architecture now also being followed by others. 
 As customers have previously endorsed and also it has been featured in certain third-party teardowns, this is enabled on the foundation of efficiency, performance, ease of use and reliability of Transphorm's products. To the best of our knowledge, Transphorm is still the only gallium nitride company to be shipping anything in high volume in multiple programs in the kilowatt range today, making us a true one-stop shop for GaN from low power to high power kilowatt class. 
 Strategic partnership for expansion and our government initiatives are a key part of our business. We are on track for increasing our wafer manufacturing capacity with deliveries of all of our acquired reactors now completed and the global wafer expansion project on schedule for end of calendar year 2023. We have made these investments ahead of the time, especially due to long equipment lead times as well as time for qualification and ramp to production. On the wafer fab side, we continue to align plans with our JV partners and are investing in incremental capacity for FY 2024. 
 In the industrial segment, we secured the pending $500,000 development funding from Yaskawa after meeting certain product development milestones. Our partnership with Nexperia, which is a strong automotive focus remains robust with continuing wafer supply arrangements. 
 We are now executing on our plans for acceleration of EV revenues and our efforts in the 2- and 3-wheeler segment now includes early design-ins and discussion with more than 10 Asia-based customers, where we feel positive about completing our first win by the end of calendar year 2023. We believe this could grow to a multimillion dollar business in CY 2024 and route to addressing $1 billion TAM in this segment. 
 Secondly, our design-ins with Japan-based and certain other customers, in the OBC onboard chargers and DC/DC converters for EV 4-wheelers are also ongoing with potential for wins next year and CY '25 meaningful revenues. We have also been investigating drivetrain opportunities in the EV 4-wheelers, which could further boost our long-term growth prospects. This is also an area where our 1,200-volt GaN technology is now generating strong initial interest. 
 On the government side, our fiscal Q3 billing on the Navy program remained similar to the fiscal Q2 at about $500,000. We are now targeting a new program starting fiscal Q4, which is expected to be a $15 million value over the next 3 years, significantly helping expanding our U.S.-based epi wafer manufacturing and giving momentum to our second vertical of RF gallium nitride epi business in FY 2024. With a significant portion of our core epi wafer manufacturing in the United States, we are also aiming to secure CHIPS act funding, and we expect to make initial submissions later this quarter. 
 In summary, we are in a unique and differentiated position among the GaN suppliers with our core platform spanning a wide range of the power spectrum. Products in the market today that address a $3 billion-plus market opportunity for gallium nitride for power conversion, doubling to over a $6 billion GaN TAM in the next 3 to 4 years. Again, from lower power adapters and charges to higher power server blockchain datacom power to industrial, energy, solar, inverters, microinverters, all areas, we are already in production and ramping. 
 In the mid- to long-term, large growth opportunities with automotive electric vehicles, both EV 2- and 3-wheelers first in CY 2023, followed by EV 4-wheelers further continuing gallium nitride and Transphorm's growth beyond 2024 and '25. 
 We are enthused that our customers have confidence in gallium nitride and Transphorm from the fact that our products now have been in the field for over 100 billion hours with very low sub-0.1 fit or field failure rates, rivaling those of traditional silicon devices. Transphorm's GaN solutions in production today from 30 watts to over 4 kilowatts, deliver higher efficiency, compact systems with easy to use and easy to interface products, no needed to interface with the outside world for our customers with proven performance benefits, a combination of efficiency, smaller size and rate, fast charging against silicon, silicon carbide and other gallium nitride solutions like e-mode.
 Last but not the least, Transphorm's GaN products make a key environmental impact especially with our ability to serve in high power markets where the energy impact is much higher. And overall, an ability to impact over 300-terawatt hours of electricity savings alone in the long term. And in the near term, impact of 50,000 metric tons of carbon dioxide in 1 year alone. 
 All in all, while both Transphorm and the broader semiconductor industry have faced challenging conditions over the past few quarters and in fact, continue to fit in the current quarter, we remain positioned to tackle this near-term headwinds and progress towards our long-term model in FY 2024, aided by both capacity expansion and aggressively increasing our worldwide sales outreach. 
 Our focus heading into FY '24 remains in 3 key areas. One, expand sales and solutions for aggressive demand generation, continue to add Tier 1 customers in our lower power area and expanding our leadership further in the higher power area and also closing in on EV design wins by the end of calendar year 2023. Second, focus on capacity expansion and supply chain management to be prepared for meeting the increased demand we expect in FY '24 and beyond. And third, continue to exit on our products and solutions road map, technology leadership and key partnerships, both strategic partners and solutions partner ecosystem. 
 With that, I want to go over to Cameron to walk you through our financials in detail. 
Cameron McAulay: Thank you, Primit, and hello to everyone joining us today. I would like to start by providing some context behind the delay in filing. There was in the quarter, as I will reference in my remarks, a notable adjustment to our epi wafer inventory balance that had grown as a result of the process of bringing up our epi wafer reactors, especially in Japan. The audit delay was required to establish and reconfirm the nature of this adjustment. And the related documentation required with our auditing firm was in addition to our typical procedures. This took a few days to complete. In conclusion, there were no adjustments made to the prior periods as a result of this work. 
 Let me now start my standard remarks with a brief recap of our financial results for our most recently completed quarter. For my remarks, I will refer both to GAAP and non-GAAP results, which are reconciled to GAAP in our press release table. Non-GAAP results exclude stock-based compensation, depreciation and amortization and adjustments to fair value of our previously held convertible note. 
 Starting with the income statement. Total GAAP and non-GAAP revenue comprising product and revenue was $4.5 million in the quarter. This met our target and represents a 22% increase quarter-on-quarter. Product revenue, as with the prior quarter, now forms the majority of our total revenue number, over 85% in the quarter just completed. The majority of this product revenue being generated in higher power applications. 
 Continuing to focus on product sales, solid execution allowed us to exceed our target and generate product sales of $4.0 million. This is an increase of 25% in product revenue from the prior quarter. This revenue is being driven across a broad range of power conversion applications, including fast chargers and adapters, gaming, data centers. And as noted by Primit, we now have over 50 customers in production, a strong increase in the current quarter. 
 Government revenue was $0.5 million in the quarter, an increase of 5% from the prior quarter. The company is working to secure a new 3-year, $50 million government program that is expected to drive revenue in future quarters. We are targeting this program to be awarded in the near term. 
 The gross margin in the quarter was negative 59%. The principal driver was a strategic nonrecurring dispositioning of epi wafer with subassembly inventory, resulting from an evaluation of epi inventory produced while bringing reactors online, optimizing specs across all locations and an internal risk assessment of using those epi-wafer units in our manufacturing process line given now our fundamentally improved epi processes. 
 Secondly, lower short-term yields associated with bringing up record capacity also contributed the company focuses resources on capacity expansion. This expansion being done to support our growth that we anticipate being driven by our strong design-in and design win traction. 
 Excluding these onetime strategic write-offs, the margins are comparable with those in the prior quarter. Our direct margins remain consistent, and we continue to progress towards our long-term model of gross margins in excess of 40%. A number of actions, including new product introduction, ongoing cost efficiency activities and benefits that we will receive as we continue to grow and scale will contribute to this. 
 Operating activities on a non-GAAP basis were $5.9 million in the current quarter compared to $5.1 million in the prior quarter. This increase is being driven largely by an increase in payroll as we continue to deepen our team including leadership appointments in both sales and operations. 
 Non-GAAP OpEx in the same quarter in the prior year was $4.4 million. The increase here is attributed primarily to personnel increases across the company just referenced together with a reduced absorption of R&D costs associated with our government contract. 
 Turning to EPS. The non-GAAP EPS loss in the quarter increased from $0.09 to $0.16. Excluding the onetime strategic inventory write-off, the non-GAAP EPS would be $0.11 within $0.02 of the non-GAAP EPS in the prior quarter. 
 From an operational perspective, we continue to see solid traction in our targeted markets as evidenced by our improvement in both customers in production and design-in activity. Our short-term focus being on product execution and enabling capacity expansion to support medium- to long-term growth. We also continue to invest in the long-term growth engine of the company. 
 Turning now to the balance sheet. Our shareholders' equity remains solid at $49.2 million at the end of the quarter. Operational cash burn, excluding capital investment increased in the quarter to $8.8 million. This was driven primarily by a reduction in receivables as a result of the timing of our Q3 shipments. Q3 also saw a reduction in our government collections as we transition from our current government program. 
 Our AR increased $2 million in the quarter, driven as noted by the timing of our Q3 shipments. Cash and cash equivalents were $23.6 million as at the quarter end. We expect the cash burn to decline in the current quarter. 
 Our CapEx investments continued as we look to enable additional capacity to support our growth. Other assets and liabilities remained largely stable. Looking ahead, we continue to remain open to opportunities to further strengthen our balance sheet to ensure that we're able to continue to invest in our growth, the growth enabled by our continued design and progress and production customers. 
 Turning now to our target operating model. Transphorm is in the process of building a high-growth cash-generative business. From a revenue perspective, there are 3 different streams of income: licensing, government and product. In the current fiscal year, product revenue has accounted for over 80% of our total revenues. And as we look forward, we expect this trend to continue. The company anticipates rapid top line growth and GaN adoption across multiple end markets with a 5-year CAGR in excess of 50%. 
 We are confident that the company can achieve an overall gross margin of over 40%. All segments will be able to benefit now from the improved cost structure in our current products. In addition, a number of actions, including new product introduction, discrete ongoing cost efficiency activities and from scaling will assist us. With respect to operating margin, the company will continue to invest to support all aspects of our core operations. We have a stable OpEx structure, an environment will ultimately allow us to translate our gross margins into an operating margin model that will deliver over 20% to the bottom line. 
 Including now with a few key highlights. Transphorm publicly listed on the NASDAQ Exchange is a pioneer and leading provider of GaN power conversion devices. Our disruptive best-in-class technology is addressing a large growing market opportunity. We are commercially ramping with a strong pipeline in place. We have established a strong network of blue-chip partners and have a comprehensive product offering today that meets to have customers' needs across a wide range of power levels and segments. All underpinned by a solid balance sheet, the industry's strongest IP position and a deep balancing team. 
 That concludes our prepared materials and remarks, and we would now like to open the call to any questions. Operator, please proceed. 
Operator: [Operator Instructions] Our first question comes from the line of David Williams from Benchmark Company. 
David Williams: I guess maybe Primit first. If you -- I think this is the first time that we've heard you really talk about the pipeline of opportunities. And you talked about $400 million. Can you kind of give some clarity around that kind of what you're seeing? And maybe kind of what is included in that as you kind of think about that pipeline? When do you expect it to be realized? And what's in that bucket, please? 
Primit Parikh: Sure. So the pipeline the way it's -- we have -- we are tracking a systematic design sales funnel pipeline at various stages of design-ins from 10% to 100% quantifiably defined. So these are all the opportunities, qualified opportunities that our sales team have discussed with customers, various -- again at various stages in the design pipeline, 100% being repeat production orders. 
 And that totals up to -- it's very exciting actually, David, where we are, that totals up to more than $400 million. And this actually includes only our power products pipeline. It does not actually include our epi wafers with strategic partners, for example, like Nexperia. That's another well over $100 million. 
 And if we take -- we also probabilistically weigh all of -- this pipeline is over 5 years. And if we probabilistically weigh the pipeline, the power products pipeline, the $400 million plus that I talked about is over $160 million probabilistically weighted, and adding another $100 million to that to the epi wafer and wafer pipeline brings it to well over $250 million, and that number is growing rapidly. 
David Williams: Very helpful. And then maybe if you're just kind of thinking about the design wins. And obviously, those are growing very, very quickly. Just kind of thinking about your capacity you're bringing up, do you still think that your targeted capacity will be sufficient to fulfill this demand? And maybe how do you think about that? And maybe opportunity to expand that capacity further than where you're at today over the next 12 to 18 months? 
Primit Parikh: Correct. Yes, that's in part why we made this reactor investments ahead of time. If you look at our last 2 quarters of capital investment, both included several million dollars in most CVD reactor-based investment. So that we are preparing for ahead of time, especially with some of the long cycles that we get in installation as well as qualification. 
 We are also very excited about the partnership with Global Wafers, where our first reactors are now delivered, and we are in process of bringing that up like we like we said, which is on track. It remains on track for end of calendar year 2023 like previously noted. And that opportunity there also allows us for future expansion of -- with facilities in place for the reactors. 
 And then secondly, as we look ahead, that is where we mentioned about the U.S. CHIPS program. We also need to further ahead of time, try and expand our capacity with potential help from the CHIPS act program. 
David Williams: Okay. Fantastic. And maybe just one on the laptop side. You talked a little bit about this, but you're making some nice progress there. Are you seeing more of those developments with the OEM or at the ODM level? And maybe how are you differentiating yourself versus some of the competitors, if you kind of think about that market specifically? 
Primit Parikh: Sure. So on the lower power chargers, specifically laptops, it's both the OEM and ODM typically are closely involved. Some of the projects are initiated at the OEM and then designed in at the ODM. Some of the projects directly working with the ODM because they get RFQs from the OEMs, so both those are in progress. And what really helps us sell what we are really excited about, for example, the HP win, we talked about, that gives us a lot of credibility and traction at the ODM win -- marquee win like that gives us visibility across multiple ODMs, actually, which then we expect to accelerate further the designing at those ODMs for various different OEMs as well. 
 And your second part of your question, the reason it's the similar things that we have said before, Transphorm has designed our GaN FET to seamlessly integrate with the outside world. So we can use standard drivers and controllers. In fact, the drivers are integrated with the controllers, so we don't need any integration on the low-power side because the driver is literally for free as part of the controller, it already comes in. And that is very helpful. 
 Second, our performance actually is better. What we have done, what customers have also done if we take a standard of competing gallium nitride e-mode and simply replace that with our gallium nitride, we see 5%, 10% loss improvement immediately. This is gallium nitride to gallium nitride, right? Of course, our silicon -- all gallium nitride is better versus silicon. So our ease of use, our performance, and now our growing reliability, all those 3 things, the 100 billion hours of field operation that we mentioned, all of those 3 things are now adding to our momentum in the lower power space. 
David Williams: Very good color there. And one last one just not to leave Cameron out. But if you kind of think about your gross margin profile and the value add of the GaN product, and you talked about a 40% longer-term margin. Once you get up to ramp and you get into real production levels here, do you think that there's an opportunity to run that in the maybe 50 and above range? Or do you think you're -- there's anything structural that will keep you kind of 40-ish percent range longer term? 
Cameron McAulay: I don't think there was anything structural, David, that would prevent us from hunting higher margins. I mean, I think obviously, we'll be targeting -- maximizing the margins and maximizing the value. We feel though that 40% is a very good marker in terms of new product introductions, economies of scale and things of that nature. Obviously, if we can glean higher margins from the products that we're releasing, we'll certainly get there. 
Operator: Our next question comes from the line of Craig Ellis from B. Riley. 
Craig Ellis: Congratulations on the progress with all the design-ins and the design wins. So I wanted to follow up on an earlier question on the laptop business. Could you just help us understand how substantial that is? Is the percent of product revenues? And given the design-in/win profile that you're seeing, how should we expect that will evolve through calendar '23 as a percent of product revenue? 
Primit Parikh: Craig, thank you first of all. And there are 2 things about some of the laptop wins we mentioned. One is the HP, which we have shipped in production already. And it started with -- there are 2 significant things that it started with an after market adapter -- laptop adapter win. So that's kind of those volumes are we don't disclose exact customer volumes, but those are synonymous with the aftermarket kind of volumes. But what's more important, that is -- or equally importantly, what that has done is it has opened up multiple designs within the same customer, right? So we expect that to grow those multiple design-ins to go to a significant high volume over the next 12 months. 
 Secondly, what that has done is it's opened up more designs at the ODMs, and these designs at the ODMs are -- some of them are targeting inbox, which can be million unit plus kind of opportunities a year or even higher in some cases. And then we talked about the second -- we didn't name the customer, but second, we said leading worldwide laptop manufacturer. So we have shipped our initial high-volume production quantities towards that also. So both of those, we expect, especially in the second half of this calendar year to ramp at those respective customers. And then the ODMs themselves open it up for more designs that the ODMs are doing for a variety of OEMs. 
Craig Ellis: So just from a percent of the product revenue mix, Primit, how should we think about how all that adds up? How meaningful will that be exiting this year as a percent of product revenue, given that you're seeing very good design win traction across a host of other products as well? 
Primit Parikh: Yes. So overall, we still -- we are very -- the low power is growing now for us because of, again, the superiority of our products. We still expect the high-power revenues. We feel high power revenues were about 70% or more than 70% this -- the December quarter. We expect that trend, we expect both to grow. The high power, we expect to remain at that 2/3 value and the low power as a percentage of revenue, say, 1/3 -- 30% to 40% of the product revenue. That's our rough expectation with that. 
Craig Ellis: That's really helpful. And then can you talk a little bit more about the capacity point. So you've been setting the expectation with us that capacity would ramp up. And it's nice to see that all the reactors are in place. But how linear should we expect to see that capacity ramp through the year? Is it fairly steady through the year? Very much a calendar fourth quarter of '23 development? Just help us calibrate the pace at which capacity will become revenue generative? 
Primit Parikh: Yes. So we have 2 -- in terms of specifically the epi wafer reactor capacity, we have kind of 2 things to look at there. One is maximizing the output from the reactors that are existing, and bringing more of the reactors online. So Cameron talked about certain early phase of bringing the reactors online. Those were the reactors that were existing at Transphorm but not online yet. So those are coming up. Some of them are already online. We are shipping volume production with them. Some will -- are coming online. We expect them to be fully in production in the April to June quarter. So that's going very nice. 
 And the second part of the capacity is the new reactors that we have acquired, both in California as well as Global Wafers, our partner. And those reactors like we have said previously, are expected to be online by end. They are in place now, but they're expected to be online facilitized and early production by end of calendar year 2023. And then kind of more fully in production in the fiscal -- in the January to March of 2024. 
 And what all of that David allows us to do is, again, having this ahead of time this quarter and future, we are very excited about the second half of the calendar year at the current capacity and what all allows us to do with the demand in space in the current capacity this quarter, the January to March quarter. We are tracking about $4.5 million to $5 million in the January to March quarter. Of course, there's 5 weeks still plus to go there. A little bit of uncertainty in China remains. 
 But on the flip side, again and specifically with the capacity question, you appropriately asked, we are well poised to expect quite a strong growth in the second half of the calendar year. And especially on the demand side, converting the strong designing traction to revenue, both in high power and low power. 
Craig Ellis: That makes a lot of sense. And then I'll use that as a segue into a cue for Cameron. Cameron, with regards to the inventory issue that you identified in the $2.8 million charge in the fiscal third calendar fourth quarter, given the active capacity ramp through the year, should we expect those types of charges to persist? Or have all those issues been resolved? And will that no longer be something that we see as part of COGS as we look at the current quarter and quarters ahead? 
Cameron McAulay: Sure. Thanks, Craig, it's a good question. And I think that you will not see an adjustment of this magnitude in the future. I mean I think that we have got much improved processes, as we mentioned in our prepared remarks. We've solved some of the issues in relation to production. We've optimized our specs. And the focus, as Primit noted, is in terms of growth. There's always a possibility when you bring reactors up for some short-term lower yields, and that was one of the things that we experienced in the quarter. But not to the magnitude that we had in Q3. This was more of inventory that had built up over time as we brought up the reactors, particularly in Japan. 
Craig Ellis: Got it. So significantly, this was Japan and maybe a little bit States side, but mostly over there. Okay. Got it. 
Cameron McAulay: Yes. That's a good way to characterize it, yes. 
Craig Ellis: Yes. Okay. And then finally, in your prepared remarks, you had listed 3 things that could ultimately take gross margins back toward the target level. Can you just -- can you help us with just some insight into how you think those things can factor into the business as we go through calendar '23 and much of fiscal '24? What does it mean for the exit rate this coming fiscal year for gross margins? Not looking for specific guidance, but just broad strokes as the business gets some of those tailwinds and builds off of current gross margin levels? 
Cameron McAulay: Sure. No, it's a great question. I think each of them will contribute a certain extent. I mean you've got new product introductions, which obviously we want to get people on to our newer products that helps the margins, particularly with our design-in activity, cost efficiency activities. But the biggest one probably is the scale, Craig. As we grow the business, we do have fixed costs of operating the business, and they are a much lower drag on margins as we grow the business. So that's going to be the one, I think, that decreases the margins as we go forward. 
 And we're certainly looking to increase them pretty steadily over the course of FY '23 and FY '24. And I think that the other factor that will assist in this the product will be once we secure the government program that we're looking to secure, and that will increase that stream of revenue as well. So 3 or 4 different factors. I think each of them will contribute 2 to 3 points of margin. And the biggest one, I think, is in terms of just the scale of the business as we execute on the design-in and product activity that we're seeing today. 
Operator: [Operator Instructions] Our next question comes from the line of Richard Shannon from Craig-Hallum. 
Richard Shannon: I think maybe I'll follow up on the gross margin topic, which you hit on, Cameron. I just want to kind of replay the December quarter here. I think you're characterizing the gross margins as similar that we've seen in the recent past year, excluding the inventory write-down and the yield issues. Did I catch that correctly? 
Cameron McAulay: Yes, that's right, Richard. That's perfectly characterized. 
Richard Shannon: Okay. So if I take out the $2.8 million, I get, I think, a 5% number here. So the yields would take us somewhere into the teens or 20s then, is that right? 
Cameron McAulay: Yes. The $2.8 million is particular to the kind of historical issue that centered in Japan. And we also had a current quarter lower yields associated with bringing up other capacity. So when I think about comparable yields, I comprehend both of those instances, Richard, because neither of them will be part of, obviously, a long-term margin model. These are short-term instances. 
Richard Shannon: Okay. And to that point hear about short term, is that something you'd see any yield issues in this March quarter or beyond? 
Cameron McAulay: To a much lesser extent than we saw in this quarter. There's always -- when you bring that result, you never go from 0 to 100% right away so that that's one of the things we experienced in this quarter. It may linger a little bit into next quarter, that's fair to say. But certainly not to anything like the same extent we saw. This was a one-off strategic adjustment to allow us to use our improved processes and optimize fix to scale the company. 
Richard Shannon: Okay. So if I -- so we'll see a margin maybe -- margin in March impacted a little bit and then hopefully in June and maybe after, we'll see it kind of get to a more normal level, it can grow towards 40% over time. So if I look at the last 4 quarters prior to December, we saw between mid-teens and low 20s. So would it be fair to think about somewhere in that range, hopefully, at the higher end that would happen in June. Is that a fair way to think about it? 
Cameron McAulay: I think so. I think you're looking at mid-teens is a manageable conservative number for the March quarter. And as we grow the company and scale the company as following on from Craig's question, you should continue to see those margins pick up. 
Primit Parikh: For the June quarter -- exactly the March quarter is what Cameron said. And the June quarter is pretty much we expect to target what you alluded to. 
Richard Shannon: Okay. Perfect. And one other dynamic just trying to understand here the referred to on this call, I think, in the last call as well as one of the benefits here is getting into newer products, Gen IV and Gen V here. Maybe if you can give us a sense of where you sit today in the split between Gen IV, Gen V or even older? And then -- and how fast do we see that transition this year? 
Primit Parikh: Sure. So right now, Gen IV is the one we are transitioning in some of the areas we have already transitioned. But Gen III, which we had design-ins, both high power and low power, that's still reasonable percentage of the mix. So it depends what the application area is lower power tends to be sometimes faster transition. We've got some very nice wins. We talked about micro inverters, right? I believe we are the only GaN company who's actually announced production wins in production with microinverters, the 800-watt or 1,500 watts, so far. So that's an exciting segment for us. That was -- that even we are going to transition to Gen IV, for example. 
 Gen V, just on the cusp. Gen V, we have only some of our very early design wins, some of our UPS wins have been with Gen V. So that whole transition remains. So right now, Gen IV is, I would say, our median Gen III on the older generation side still supporting and Gen V just on the cusp of the introductions. 
 But the second thing we also do independent of the generation, which is a key driving factor is and like we alluded in the presentation, packaging, for example. We are bringing up both for the purpose of second source as we target skilled volumes as well as cost down, we are bringing up other packaging partners, packaging subcontractors. And some of that, especially on our higher power side can be 5 to 10 points of margin improvement over time with the volume with the additional packaging partners. And that would be independent of the new generation. 
Richard Shannon: Okay. That's great detail. I'll have to review those comments and probably get back to it, but that's very helpful. Let's see, on a prior question, I think you talked about kind of revenues for the current quarter being kind of $4.5 million to $5 million. Wondering if the government programs are going to be contributing anything to this quarter? Or is it going to be below the previous levels you talked, I think, about $0.5 million per quarter in the recent past? 
Cameron McAulay: The $0.5 million... 
Primit Parikh: Go ahead, Cameron. 
Cameron McAulay: I was just going to say that the $0.5 million, Richard, is really indicative of the fact that we're winding down the prior program. You saw that the run rates were higher in earlier quarters, and we would hope if we are well positioned for this award, should we get awarded that we would see a greater contribution from government in the March quarter. 
Richard Shannon: Is it baked into that range at all at these levels, so it could be upside if and when it happens? 
Primit Parikh: Yes, that's what the range is about. 
Cameron McAulay: Yeah, that's what the range is for. 
Richard Shannon: Got it. Okay. Perfect. That's helpful. Let's see here. Primit, on the automotive or I guess more specifically on the 2- and 3-wheeler opportunity you've been talking about for a few quarters here. I think last quarter, you talked about building a multimillion dollar base of revenues here in fiscal '24 that ends in March. And I think this quarter you talked about getting some wins in place for this calendar year. So just want to make sure that this is a change in viewpoint or possibly a push out in time frame here. I just want to get my understanding here of your new comments relative to last quarter. 
Primit Parikh: I think the market, we probably -- the market itself is there, right, in the thing, and we are working on the design-in activities. So I believe we had said the dispersed production wins by end of calendar year 2023. So that would put the ramp in calendar year 2024. 
Richard Shannon: Okay. I think it's -- okay, fair enough that I thought the transcripts in fiscal '24 and that okay. I'm glad to have that straight away here. Let's see here. Kind of a big picture question here, Primit, and I'll jump on line. I think one of the big drivers here again over a long period of time is getting costs down below silicon. You obviously have a value-add here even before you get to that point here. But where do we sit here in terms of getting prices of GaN and your specifically towards silicon? And when do you think that will happen? And how do you see the inflection of demand, I guess, in first lien adapters and chargers as you get to that point? 
Primit Parikh: It's, for us, a 2 parts to that, again, for us that in the demand inflection and GaN, in general, it is happening for Transphorm, which is both low power and high power, right? On the high power, we directly take on silicon carbide and we significantly improve on performance with silicon carbide and long-term costs also there. On the low-power side, it's taking on silicon. 
 Some of our ODMs, we talked a lot about OEMs and ODMs in the early part of the call. Some of our ODMs actually what they say is the trends they see from Transphorm from others they expect in 5 years, one particular ODM commented, in 5 years, we expect the entire adapter market that they are serving, this is one of the top 5 in the world, move to gallium nitride. So that trend is happening with respect to -- like we said, we enable the lower total BoM cost of the solution. 
 So even today, actually, some of the reasons we are getting these wins and increasing our penetration in the adapter side is because the -- when the customers look at -- especially for inbox, what they want is the BoM cost should be the same as -- or very, very similar to what they get of silicon. So that we are enabling today. Over time, GaN, definitely over the next several years, approaches the cost of silicon, the price we get the value of the performance and the lower BoM cost of the GaN. 
Operator: I would now like to turn the conference back to Primit Parikh for closing remarks. 
Primit Parikh: Thank you so much, everyone, for tuning in, and we look forward to execution and growing the GaN market, which Transphorm's GaN products, enabling our customers to win every day and enabling significant amount of energy and efficiency savings. Thank you all. 
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.